Operator: Good day, ladies and gentlemen, and welcome to the Q1 Fiscal Year 2009 Marvell Technology Group Earnings Conference Call. My name is Tony and it will be your coordinator for today's conference. At this time, all participants are in a listen-only mode, and we will conduct a question-and-answer session towards the end of this conference. [Operator Instructions]. As a reminder, this conference is being recorded for replay purposes. And I would now like to turn the call over to your host for today's conference Mr. Jeff Palmer, Senior Director of Investor Relations, Please proceed, sir.
Jeff Palmer - Investor Relations: Thank you. Good afternoon, everyone, and welcome to the Marvell Semiconductor fiscal first quarter 2009 earnings call. On the call today is, Dr. Sehat Sutardja, Marvell's Chairman and CEO; and Mr. George de Urioste, Marvell's Interim CFO. If you've not obtained a copy of our current press release, it can be found at our company website under the Investor Relations section at www.marvell.com. Additionally, this call is being recorded and will be available for replay from our corporate website. Before we begin, we would like to remind all participants that this call will include forward-looking statements that involve risk factors that could cause Marvell's results to differ materially from management's current expectations. These forward-looking statements may include predictions, estimates, and other commentary regarding sales trend, revenue growth, gross margins, operating and non-operating expenses. Such statements are usually preceded by, but not limited to such words as expect, anticipate, belief, should, may, will or other forward-looking statements. To fully understand the risks that may cause results to differ, please refer to Marvell's fiscal 2008 Form 10-K and subsequent SEC filings. Please be reminded that the company undertakes no obligations to revise or update publicly any forward-looking statement. Throughout the call today, we will be make reference to certain non-GAAP financial measures which generally exclude the effect of stock-based compensation, amortization of acquired intangible assets and other one-time charges. Marvell management believes these non-GAAP metrics are useful as they best reflect how the business is internally managed. While Marvell use these non-GAAP financial measures as a tool to enhance its understanding of certain aspects of its financial performance, Marvell does not consider these measures to be a substitute for or superior to the information provided by GAAP financial measures. With respect to historic information the most directly comparable GAAP information and a reconciliation between the non-GAAP and GAAP figures is provided in our fiscal year Q1, '09 earnings press release which has been furnished to the SEC on Form 8-K and is available at Marvell's website at the Investor Relations section at www.marvell.com. I would now like to turn the call over to Dr. Sutardja Sehat.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Today we reported fiscal first quarter revenues of $804 million, up 27% from the same period a year ago and a seasonal decline of 5% sequentially. So, we came in well above our guidance which call for a 7% sequential decline in revenues. I am pleased with our top-line growth in what is usually a seasonally weak quarter. We met our goals in our core markets and we attribute the higher than anticipated revenues to success with our 802.11N wireless products, the growing adoptions of our Network Attached Storage products, and an improved demand for our printer system-on-a chip products. I am also pleased to say that we significantly improved our profitability during the quarter. The improvement in margins was a direct result of rigorous cost savings initiatives we implemented in prior quarters that are just now coming to fruition. George will go into greater detail later in the call on the financials and the drivers of the business. So, now I would like to give you an update on new products and an important part of our technology strategy. In the hard-disk drive market, we continue to win designs for next-generation drives for notebook, desktop and enterprise applications. These design wins leverage our hard-disk drive, system-on-a chip or SoC products which we confidently believe at least one and a half years ahead of our competitors. While we continue to execute flawlessly, lately we have heard our competitors talked about gaining market share at 45-nanometer. Of course, we would like to know how successful they have been at 65-nanometer or even at 90-nanometer for that matter. There is a reason why Marvell continues to lead the HDD business. It is because our SoC products enable our customers to be successful in their target markets. Marvell continues to gain market share because we consistently exceed our customers' challenges. Our customers tells us that our products help them to introduce new hard drives sooner with better performance with lower power consumption and with improved quality. These ultimately helps our customers to be more profitable. Now, I would like to talk about solid-state storage, or more often [ph] we heard as SSD. As you know, there is a lot of interest in SSDs these days. We will be announcing our entry into this market at Computex in Taiwan next week. Marvell is leveraging more than 10 years experience in hard-disk drive controllers as we enter the SSD market. With the introduction of the series of products, we will be unveiling our strategy to address the entire SSD market with superior controller devices. While SSDs will not replace hard drives anytime soon, we see this as an additional revenue opportunity for Marvell as SSD fine roll in ultra-small notebook PCs, mobile internet devices and enterprise applications. Now, I would like to provide an update on our cellular business. As I have mentioned in prior calls, we have great confidence in our opportunities in the cellular and mobile device market and we are well aligned with the leaders in this market. During the first quarter we achieved what I believe to be a very important milestone as we began volume shipments of our HSDPA communication processor to a key smart phone customer. We expect a steady ramp to high volume production throughout the remainder of the year. We also continue to see positive acceptance of our application processors. As an example during the quarter, Garmin, Trimble [ph] and Samsung all introduced several new products which leverage our high performance application processors. We have made good progress over the last several quarters to improve the profitability of our cellular business. We have streamlined the operations and completed the transition from Intel to TSMC for existing high-volume products. We are currently in the process of optimizing our architecture for the next generation of communication processors. This third generation of products will leverage Marvell mixed signal, microprocessor and SoC design expertise, along with many of the internally developed intellectual property. This next generation of devices will achieve even lower power, even higher performance, and smaller size than the current generations of products. We see these new efforts coming to completion over the next 12 months. I would also like to mention some of the products we introduced during the first quarter. In particular, the discovery innovation series of SoCs, integrating our latest CPU or microprocessor technology. The performance of the embedded CPU in these products is above that of any standard ARM processors out there. These products are purpose built devices for carrier-grade Metro-Ethernet networking. Already, we have multiple design wins locked in with major networking OEMs with volume production at the end of the year. While Marvell has long been recognized as a leader in mixed signal SoC design, we have also achieved leadership in high performance, low-power embedded CPU technology. Marvell has the world's largest development team focused on ARM instruction set CPUs. Nearly all of our SoC products today integrate internally developed ARM instruction set compliant processor. With the development of a new generation of processors, which we are calling CIVA [ph], we will further strengthen our technology leadership. The CIVA CPU technology will be incorporated in several new products in the near future. We believe these new high performance CPUs will drive a new generation of mobile, consumer and enterprise infrastructure equipment. Now, I would like to pass the call to George to provide the financial update and guidance before turning to your questions. George.
George A. de Urioste - Interim Chief Financial Officer: Thank you, Sehat, and good afternoon everyone. Today we are pleased to announce fiscal first quarter 2009 revenue of $804 million, representing nearly 27% growth over revenue of $635 million for the same quarter in the prior fiscal year. Our first quarter results showed a seasonal decline of 5% sequentially from the $845 million reported in our fourth quarter. These actual results were above our Q1 guidance range of $775 million to $785 million. As Sehat mentioned earlier, we are pleased with the progress we have made toward improving our profitability. Looking at gross margin, our non-GAAP gross margin for the fourth quarter was 52%, significantly better than our prior guidance range of 48.7% to 49.3%, and above our long-term operating model of 50%. Our gross margin was up over 330 basis points from Q4 and was up over 310 basis points from Q1 of the prior year. The improvement in gross margin above our Q1 guidance was due to a number of factors. First on a sequential basis, we realized a 240 basis point improvement due to better standard costs and wafer yield enhancements. In addition, through focused inventory management, we've realized an additional 90 basis point improvement. Turning to operating expenses, on a non-GAAP basis, expenses were $255 million which is better than the prior guidance range of $290 million to $295 million. Included in the operating expenses were several one-time charges and benefits. The one-time benefit includes a $24.5 million payment received from our director and officers liability insurance carriers and had the effect of reducing operating expenses. This one-time payment is in connection with the previous public disclosure of a tentative settlement of the shareholder derivative litigation. Separately and also as previously announced, during the quarter Marvell entered into a settlement with the SEC in connection with the previously disclosed investigation of the company's past stock option granting practices. Marvell agreed to pay a $10 million civil penalty in connection with the settlement. This payment was charged to operating expenses in Q1. As we have stated before one of our goals is to lower our operating costs through intelligent spending practices, while simultaneously maintaining our investments into future product development. In Q1, we have achieved many of our cost management goals and we continue our focus on improving operational efficiency. We have meticulously reviewed our costs looking for areas which will allow us to be more efficient. The dominant benefits we realized relative to prior guidance were due to lower legal expenses, lower engineering related costs, such as mask costs, take-out charges, savings on engineering software costs and NREs. Additionally, we realized modest benefits from refining the accuracy of our expense accrual process. All of these benefits were partially offset by first quarter seasonal costs related to annual company-wide employee performance reviews and the associated compensation increases. During the quarter, we realized an expense in interest and other income equal to roughly $4 million approximately in line with expectations. Turning to our tax expense, our effective non-GAAP tax rate was 5.4% for Q1, lower than originally anticipated. I would like to highlight that our tax payments do not increase proportionately with our profits. This is a result of our cost plus tax structure. By way of explanation, it is important to first understand that Marvell manages its tax expense with effort similar to how we manage our operating expense. Our tax expense is largely determined by regulations with tax authorities around the world and is derived by what is commonly referred as a cost plus formula. This means that our tax expense is determined by our operating expenses in different geographic locations. Because such tax expense does not directly vary by level of income, when Marvell has higher income, the effective tax rate declines. Conversely, if the company is not profitable, it would still incur a tax expense. In our first quarter because income was higher than anticipated, the international tax structure caused the effective tax rate to be lower than anticipated. Next, let's look at non-GAAP net income for the quarter. Our result was approximately $150 million or $0.24 per diluted share and is up 22% compared to the $123 million or $0.20 per diluted share during our fourth fiscal quarter last year. This quarter's performance is up 380% compared to the $31 million or $0.05 per diluted share in the first quarter of last year. Shares used to compute non-GAAP net income were 624 million down from a 627 million shares in the prior quarter. The lower number of shares was due to a lower than anticipated share price when using the treasury method of computing diluted share account. Now, I would like to offer some additional insights on our revenue results during the quarter. Our performance was better than anticipated, considering the seasonality of the quarter. From an end-market perspective, the quarter played out modestly stronger than our original expectation. Order linearity during the first fiscal quarter was balanced, and improved both sequentially and on a year-over-year basis. Several product areas had strong growth trends, either sequentially or on a year-over-year basis. Revenue from our storage products was flat sequentially as anticipated, but grew over 30% on year-over-year basis. We remind investors that the first calendar quarter is historically the seasonally weakest period for the hard drive industry. In our view, our ability to buck this trend is attributable to two factors. First, our primary hard drive customers continue to gain share within the marketplace. Secondly, the overall hard drive industry is benefiting from the continued demand for notebook PCs, which is creating positive demands for 2.5-inch drives. We see the trended demand for 2.5-inch drives as creating a disproportional benefit to our customers as well. During the quarter, unit shipments of mobile hard drive system-on-a-chips increased on a percentage basis in the high teens sequentially. This positive trend... these positive trends were partially offset by seasonal declines in desktop and enterprise SoC and read channel products. Several of our major hard drive customers experienced sequential growth on a revenue basis with Western Digital being the only customer exceeding 10% of our revenue during quarter. Sales of our cellular products were inline with our expectations and declined modestly, but showed growth in the mid-teens on a year-over-year percentage basis. Demand for our communication processors accelerated during the quarter on both a unit and revenue basis. However, sales of our application processors were slightly below our expectations during the quarter, as one of our older application processor designs came to an end of life. And as Sehat mentioned earlier, we began revenue shipments of our HSDPA products during the quarter. Sales of our enterprise connectivity products declined sequentially in line with our expectations, but were up over 30% on a year-over-year basis. International demand for our Metro-Ethernet products continued to be robust for both new and existing products. This was offset by expected weakness in demand for system controllers and SMB access products. We remind investor that Marvell experienced significant sequential growth in our enterprise business during our previous fiscal quarter. Many of the trends recently highlighted by our peer group in the enterprise networking space are consistent with our market view. The only difference being the timing of orders among vendors. Additionally, sales of our PC connectivity products declined sequentially, in line with expectations and consistent with normal seasonal patterns. Sales of our wireless connectivity products were better than we had anticipated. Especially demand for our next-generation 802.11N connectivity products. Coupled with the increased demand of 802.11N products were sales of Network Attached Storage processors. One of our high profile customers was a leading consumer-oriented customer introduced several wireless storage router and access point products. Lastly, sales of our printer products were better than planned and also contributed to the greater than anticipated revenue during the quarter. Now turning to the balance sheet. Cash, equivalents and short-term investments were $774 million, up roughly $143 million sequentially, primarily due to better total sales, and the balance is up 37% compared to levels of a year ago. In terms of positive cash flow, in Q1, Marvell generated $185 million in cash from operating activities. This compares to $163 million in the prior quarter and is up substantially over the $54 million generated at this time last year, and further illustrates our improving year-over-year trends. Accounts receivable were $370 million, up $38 million sequentially on strong order linearity. Day sales outstanding or DSOs were 40, essentially flat sequentially from fiscal fourth quarter and lower on a year-over-year basis from the 44 days reported in the first quarter of fiscal year 2008. Inventories at the end of the quarter were roughly $370 million, down $50 million sequentially as we focused on improving our operational efficiency. Days of inventory or DIO were 93 days, up sequentially from the 83 days reported in the previous quarter and equates to inventory turns of roughly four times in line with our historic norms. Accounts payable were $168 million, down $63 million sequentially. We would now like to provide guidance for our anticipated performance in the fiscal second quarter of 2009. Please note, we will not be providing full year guidance on today's call and cannot provide any additional commentary on our full year expectations. We would like to highlight that our guidance today is a result of a bottom-up analysis of market demands and actual sales trends, in conjunction with ongoing dialogue with our customers about their expectations. With that perspective as a background, we anticipate fiscal second quarter revenues in a range of $830 million to $840 million, which represents a growth rate of 26% to 28% over the same quarter of the prior year. To help you calibrate our anticipated revenue, we would like to share with you our backlog coverage ratio. This ratio is determined by our 90 day backlog entering the beginning of the fiscal second quarter divided by the midpoint of our revenue guidance. This ratio is in the mid 60% range, and is in line with historical patterns. This also takes into consideration comparative second quarter seasonality. With regards to profits, we anticipate non-GAAP gross margins in the range of 51% to 52%. While this is higher than our previously stated 50% longer term model, we are not changing our longer term model of 50% at this time. This is attributable to generally anticipated increases in longer-term manufacturing costs, making it premature to determine whether higher gross margins are sustainable at this time. We will provide a more detailed update to our longer-term operating model next quarter. Turning to operating expenses; we anticipate non-GAAP operating expenses in the range of $280 million to $285 million, with regards to line item interest and other income, we anticipate a $2 million to $4 million expense. In terms of our tax rate, we anticipate the effective non-GAAP tax rate to range between 6% and 8%. And in review of our share count on a diluted basis, a range of 630 million to 635 million is anticipated. Lastly, because Marvell has increased... has been increasing its cash balances, we anticipate a partial pay down of our debt by amount up to $100 million in the second quarter. Next and before starting our Q&A process, Sehat would now like to provide update on the status of our search for a permanent Chief Financial Officer. Sehat.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Thank you, George. As many of you are aware, Marvell has been conducting a search for a permanent CFO. I am very pleased to announce today that search has been completed. Clyde Hosein will be joining Marvell as CFO on June, 23rd. Clyde Hosein, may already be a familiar name from his prior position as Chief Financial Officer at Integrated Device Technologies. Clyde has extensive financial management experience in the tech sector as well as strong record of improving operations. We are very pleased to welcome Clyde to the Marvell team. I also want to thank George for his excellent service as Interim Chief Financial Officer at Marvell. I am also pleased to announce that George will continue with Marvell in the role of acting Chief Operating Officer. Pantas Sutardja, who has been serving as acting COO, will relinquish those responsibilities in order to devote his full intention to his role as Chief Technology Officer. George has been an important member of the Marvell management team for the past few months, and we look forward for his continued leadership. Thank you, George.
Jeff Palmer - Investor Relations: Tony, at this time, we would like to invite your questions and request the operator to open the QA process. Question And Answer
Operator: [Operator Instructions].Also we would like remain all participants that you will only get one Q&A question and one follow-up question. [Operator Instructions]. Your first question comes from line of Arnab Chanda with Deutsche Bank. Please proceed.
Arnab Chanda - Deutsche Bank Securities: Thank you. Two questions; one is about revenues, one is about gross margin. About revenues for this year and next year, could you kind of restate what you think are the drivers of revenue growth for this year and next year, in your different segments, as well as new things like storage, optical storage, solid-state drives, power management et cetera. And I'll have a follow-up please.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes, Arnab as I mentioned many times in the past. The revenue drivers of the company for the year... for the current year are the products that we developed many years ago. So if you... if I give you an example, the storage products, they will drive the revenue for this year for example those are products that we developed two to three years ago. There is very little, that is going to make difference in terms of revenue of this year, relative to let's say new product introductions. So, when we talk about products like SSDs, that we will introduce at the Computex, next week. Those are the products that we will not put as a large revenue drivers for the year. We do believe that those will be important, by two years or three years down the road. So, this is the kind of trends that we have seen for the many years that we have done business in building products, that typically takes time for design wins takes time for the customers to develop the software and to get a mature and then once if a customer, a customer go production, this is the only time that we will be able to recognize the revenue.
Arnab Chanda - Deutsche Bank Securities: Okay. The second question on the gross margin. Let me see if I can be clearer. So, the concern was that your XScale business is not of the margin structure you wanted it to be. Obviously, the overall company's margins have improved. Is it possible... if the XScale business grows better than expected because of your HSDPA etcetera, is that going to be a mix of cellular versus the other business would be a driver for gross margins going down or do you think the volume or the cost reductions can offset that? I am trying to understand, why the margins would go down from here. In other words like your long-term model. Thanks.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Okay. In terms of the XScale we did mention in the last several calls, that okay we have been looking very hard to move the production from the Intel to the PSMC manufacturing model. That actually creates an improvement in the yield as well as in the cost structure of the product. So, we've also been working hard on improving, let's say cost of testing the product, reducing the test time is an important activities, that we have taken for many, many of our products. So in the long run, the XScale products will move to the... will be supplemented with the new generations of the processors family that we have been working on. Okay we'll talk about in this call about the Toshiba [ph] processor technology, there will be the migration path for XScale to achieve even higher performance, even lower power. And significantly smaller sizes. So this is a way for us to address the main stream, the main stream higher volumes cell phone markets. Today the existing XScale because due to the larger die [ph] sizes but with super high performance. Those solutions are suitable, are very attractive for the very high end market for the smart phone. So my belief is that as soon as I can get these products, to be... made to be smaller and lower cost even our existing customers they have been using the XScale products for the very, very high end markets will be able to move on to address the higher volume markets. So this is an important area for us to execute and I believe that we are on our way to do that.
George A. de Urioste - Interim Chief Financial Officer: And Arnab I would be happy to add on another perspective. In terms of, the question relating to our longer term operating model and why have we not chosen at this time to change our 50% gross margin target, longer term operating model. Undoubtedly as everyone is aware on the macroeconomic scene there is a certain volatility in worldwide costs and many of these costs are set at market rates, that have been recently subject to extreme volatility, whether its energy, gold, the cost of transportation etcetera. We feel at this juncture, it's prudent for us to do a deeper analysis of the longer term impacts on our business. And hence we will comeback at the end of this quarter and provide a detailed update to our longer term operating model.
Arnab Chanda - Deutsche Bank Securities: Thanks Sehat and congrats for hiring the CFO and thank you George for all your contributions.
George A. de Urioste - Interim Chief Financial Officer: Welcome.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Next question.
Operator: With UBS your next question comes from Uche Orji. Please proceed.
Uche Orji - UBS: Yes, can you hear me?
George A. de Urioste - Interim Chief Financial Officer: Yes, Uche.
Uche Orji - UBS: Yes I also have a couple of questions. One main question and a follow-up. In terms of the volume of XScale, how much more of the Intel base XScale you still need to work out of the inventory at the moment? And in terms of your ability to expand the communication processor business, just as the smart phones were there categories like mid range and low and can you give us an update if there is anything you are doing on that side?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: George you might?
George A. de Urioste - Interim Chief Financial Officer: Uche I will address your first question, in terms of the volume of XScales we worked at inventory. You may recall that from our earnings conference call in last March. We mentioned, we have completed the transition of our current generation of high volume communication processor products to TSMC.
Uche Orji - UBS: Sure.
George A. de Urioste - Interim Chief Financial Officer: With respect to our 3G, HSDPA products these are only being sourced from TSMC for high volume manufacturing. So no transition is required for such products. As well as any new orders received for these products, will be fully sourced from TSMC.
Uche Orji - UBS: Okay.
George A. de Urioste - Interim Chief Financial Officer: We continue to maintain a level of application processor inventory, which we believe has a long shelf life and as such expected to burn off that inventory over the next several quarters.
Uche Orji - UBS: Okay. That's great thanks.
George A. de Urioste - Interim Chief Financial Officer: And could you kindly repeat the second part of your question please.
Uche Orji - UBS: No I was just trying to understand the... why the strategy for the CP business if there is... given that the size of XScale business now and the fact that is purely focused on smart phones this way the strategy will be focused on or do you have plans to address other categories of phones a mid range or even low end phones. Just be able to diversify yourself from away the rim [ph] business.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: All right, okay. So I mentioned this several times in the past, actually I want to clarify again that our strategy is to make sure that our customer, our existing customers to be super successful, that's number one priority. The second priority is for us to develop the longer-term technology that will allow our products to be made significantly to be smaller in dye size [ph] to address the high volumes. So I also talked about this earlier, so this is the long term sustainable strategy to go after very, very high volume markets, whether these products will be used by our existing customers or new customers, I am confident that we will be able to see good results. If we have the right cost structure for these products. So okay we will... as we get these products out, we will give you more updates later.
Uche Orji - UBS: All right, that's great. Just one last question on the solid-state drives. Can you just update me, on what opportunities you see in the SSD market. And can you just also tell me who you view as ideal partner. Is it the traditional LCD [ph] vendors or non-flash manufacturers, what is the opportunity and how do you plan to address this market?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes, there are two types of markets that we believe is important to address in the SSD. One is that, we talk about is the products that we have to talk... to introduce next week, this is the market, this is a product that was targeted to address, the ultra Mobile PCs as well as the companion, okay solid-state drive for traditional laptops. So the I look at that, as the biggest opportunity. These are the devices they will have reasonable capacity in terms of the gigabytes. But low price... low cost enough, and then the other market opportunity is the very, very high-end enterprise class SSDs these are multi... these are devices, that can store 64 gigabytes, 120 gigabytes and even down the road to be even higher capacities. And these are kind of devices that will be sold at very, very high prices. But people will still pay for it, because it comes with absolutely the best performance. Those are the two areas that I believe that will be an important areas for us to address. Now in terms of the... in terms of long term I am optimistic that these markets could be big as people are starting develop... as people are successfully building smaller, higher capacity flash chips and also down the door as 450 nanometer... 450 millimeter wafers comes out on the line, this could be a very, very interesting market for us to address.
Uche Orji - UBS: Okay. All right, great, thank you very much. Thanks Sehat.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Sure.
Jeff Palmer - Investor Relations: Operator our next caller please.
Operator: Your next question comes from Craig Ellis with Citi Financial. Please proceed.
Craig Ellis - Citi Financial: Thank you for taking the question. The first question is for George. George your identified a number of items that were... tailwinds to gross margins in the current quarter and it sounds like there is also operating expense management initiatives underway. Can you identify what's in play, in the outlook that could be tailwind to both gross margins and operating expense control?
George A. de Urioste - Interim Chief Financial Officer: So, in terms of operating expense control, we have a to say a heightened focus of attitude of being cost conscious within the organization worldwide. And that's in conjunction with our internal approval processes enables us to carefully review any significant expenditures before they are actually approved. We also have benchmarks where we have our annual operating plan and our forecast. So every business decision requires careful justification. And the coordination among and the collaboration among employees continues to create the tailwind if you will for having this heightened focus on cost management. In terms of the gross margin, we have been successful in gaining better price agreements with our various manufacturing operations. And we expect those agreements to sustain themselves through the second quarter and that becomes the basis of the tailwind into Q2.
Craig Ellis - Citi Financial: Okay. That's very helpful. And then given that those initiatives are... I would expect gathering steam, I would expect an offset would be something like incremental hiring. And that's why operating expense is guided up modestly?
George A. de Urioste - Interim Chief Financial Officer: Yes. That would be one contributing factor, that's correct.
Craig Ellis - Citi Financial: Okay. And then switching gears Sehat, I wanted to ask a product related question. As I look at the storage business, it seems like iterative [ph] technology in desktop and notebook, the enterprise system on chip transition and the non-flash controllers are three product revenue drivers this year. Can you rank those in terms of which will contribute most to growth this year and then also rank them for next year please?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: YesI mentioned earlier that, really the revenue driver is always not the chips that we develop, that we introduced last week or next week or next month. Really the chips that we develop two or three years ago. So this is the nature of a lot other products that we built, especially the disk drive market. So if you look at the products they are going through the productions, with our disk drive customers. Many of those chips were developed two to three years ago. And then so even... when we talked about SSD, the reason we want to be early in the SSD market is because we want to put our foot in the door. So that's when the price of those SSDs okay the chip sorry, the price of the flash chips, individual flash chips, they will go into the SSDs becoming very attractive. We won't have our devices to be... to have track... to have early traction into the market. So those contribution will be more of the year from now, if not a year and half, two years from now.
Craig Ellis - Citi Financial: Okay. So the iterative technology and the system on chip transition or the drivers this year. And then the SSD controller starts to gain revenue traction next year?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes.
Craig Ellis - Citi Financial: Thanks Sehat.
Operator: Your next question comes from the line of Craig Berger with FBR Capital Markets. Please proceed.
Craig Berger - Friedman, Billings, Ramsey & Co.: Good afternoon nice job guys. On the gross margins, is it fair to assume that the cellular gross margin are over 40% now?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes.
Craig Berger - Friedman, Billings, Ramsey & Co.: And is that sustainable here? Is there further improvements in that line item?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes, especially in the long run. As I say, our goal is to go to after the... to develop the next generation device, which is going to be significantly smaller in dye size. So once we achieve that, that's the time when we can make the gross margins to be in line with our traditional business.
Craig Berger - Friedman, Billings, Ramsey & Co.: Can you guys talk about inventories or your customers or inventories in the PC supply chain. What you are hearing from customers, Dell's inventories are up. Ingram Micro, IBM, SUN, Seagate obviously. Can you just talk about channel inventories?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes. You have heard some comments in the series. Tell us a little bit more about what you have heard.
Craig Berger - Friedman, Billings, Ramsey & Co.: Well. I am just wondering if you guys think that the PC supply chain is lean right now. Normal maybe a little more than more inventory than needed, what you guys are seeing out there, in terms of inventory levels of your customers?
Craig Berger - Friedman, Billings, Ramsey & Co.: Okay, may I invite Jeff to answer to that as you've got your good finger on the pulse of trends in the marketplace.
Jeff Palmer - Investor Relations: So, Craig in terms of inventories, we are actually seeing inventory looks fairly in line for the seasonable period we are in. We are seeing our customers gaining share also combined with increased demand for 2.5 inch drives which is kind offsetting some of the normal seasonal weakness you see here in the Q1 and Q2 timeframe.
Craig Berger - Friedman, Billings, Ramsey & Co.: Last question on the cell phone chips. Obviously, when there is a customer, who else are your current customers in that business, if you could?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: In this business we have two types of customers. One is the fully integrated based band plus application processors. And we have customers they only buy our application processors in the cell phone. So, the majority of our customers are the one they are buying standalone application processors, combining with our... somebody else based in. So those are the majority of the business today.
Craig Berger - Friedman, Billings, Ramsey & Co.: And which customers were those?
George A. de Urioste - Interim Chief Financial Officer: Craigas we mentioned in the prepared remarks. This past quarter, we also saw three new customers which are Samsung, Trimble [ph] and Garmin all introduced new products based on application processors.
Craig Berger - Friedman, Billings, Ramsey & Co.: Do you envision RIM becoming 10% customer this year?
George A. de Urioste - Interim Chief Financial Officer: We are not making forward-looking statements up out.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes. We are not doing that, if it happens, okay we will talk about it.
Craig Berger - Friedman, Billings, Ramsey & Co.: Thanks a lots guys.
Operator: With Merrill Lynch your next question comes from Srini Pajjuri. Please proceed.
Srini Pajjuri - Merrill Lynch: Thank you. George just one clarification on the OpEx front. As we get into the second half of the year, you are guiding for $280 million to $285 million for this quarter, I am just wondering, what are some of the puts and takes. As we look into the next couple of quarters?
George A. de Urioste - Interim Chief Financial Officer: Srini I'll be happy to comment on the second quarter. But I will have to be consistent with Marvell's policy to not take it beyond that. So we'd mentioned that some of the reasons why we are able to realize significant savings on OpEx in Q1. For example, the legal expenses starting to trend down and with regards to more careful analysis of our accruals to make sure expenses or not over accrued. And we also have the benefit of some engineering cost that where either saved or deferred. I would expect that for example, some of the mask costs and the take-out costs of engineering that occurred in the first quarter, will to some degree come to realization in the second quarter. So, hence we would expect the total operating expense in the second quarter to be modestly above that in the first quarter. And with regard to your question on the remainder of the year, we will comment on that at the second quarter conference call.
Srini Pajjuri - Merrill Lynch: Okay. Fair enough and then just on the business side of things Sehat looks like if you look at the last couple of quarters, you have probably outgrown your customers on the storage front. And I am just wondering looking at that again, next couple of quarters. What are the puts and takes and assuming that your customers will grow whatever grade, they will grow. I mean do you expect to grow in line with your customers or do you think there are any puts and takes, that will help you or hurt you. As you look out for the next few quarters?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes. I am optimistic that the technology that we developed over the last several years resulting products, a year and half maybe even more ahead of compared to our competitions will allow our customers to win market share away from our non-customers. So, from that point alone, I am optimistic that we will be able gain market share as a indirect result of the success of our customers. The other part that, I am also optimistic is the emergence of HDTV, all these DVRs also will create new opportunities, we'll have to maybe combine, the fact that... the cost of the panel hard drives are coming to the point, where it becomes so affordable this emergence of this HDTV, DVRs will also create new opportunities even big opportunities for the storage products. So, I think the market... will as the economy. If the economy continues...I mean economy is really the world economy if the world economy is doing fine, I think we will be fine.
Srini Pajjuri - Merrill Lynch: Okay. And then you did mention that... you are seeing some price pressures obviously you did pretty good job on the gross margins. So I'm just curious as to where you are seeing this price pressures and then if you can you provide any more color on the front?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes, in terms of price pressures, we made... we talked about price pressure because this is the day-to-day life, that we have to deal with semiconductor suppliers. Our customers will continue to press us to lower the prices. Our job is to built better and better products with more features to offset some of those price pressure. So in general, we have been successful in maintaining this balance of lower enterprise and improving the features.
Srini Pajjuri - Merrill Lynch: Okay.And just the last question Sehat again, it's been more than couple of years. Since you announced the optical products, I am just wondering, if you could provide us any timeline or any update as to when you expect to see meaningful revenues from that segment? Thank you.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes, so I don't whether we talked about this last time. So we did work on the HD-DVD so we had a fully committed customer working on HD-DVD last year and unfortunately the HD-DVD standard was the... Toshiba decided to get away, to stop working on HD-DVD. That impact our market entry into the, the timing of our market entry into the optical. But is not... on the other hand, we also see it as a positive. Now we have only to develop Blu-Ray but before we have to develop HD-DVD and Blu-Ray. So, we do have several customer engagement in this area. But... it's a little bit slightly early in the Blu-Ray side to talk about it. So we will talk more about it, in the quarter or two.
Srini Pajjuri - Merrill Lynch: But do you expect to see volume ramps this year, is it more of a 2009 story?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: It's more of 2009.
George A. de Urioste - Interim Chief Financial Officer: Calendar 2009.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes, calendar.
Srini Pajjuri - Merrill Lynch: Great. Thanks.
Jeff Palmer - Investor Relations: Operator next question please.
Operator: The next question comes from James Schneider with Goldman Sachs. Please proceed.
James Schneider - Goldman Sachs: Hi, good afternoon. Could you talk about, in terms of your July guidance, does that contemplate the full ramp of your enterprise hard drive design wins for the SSDs... one customer?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: We do have... we are talking about for this year, I think that's --
James Schneider - Goldman Sachs: Our second quarter.
George A. de Urioste - Interim Chief Financial Officer: Second quarter guidance.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes, that concludes that.
George A. de Urioste - Interim Chief Financial Officer: Jim, as we said before, the enterprise driver most likely we'll ramp up a 46 quarter period, it starts ramping here in the second quarter.
James Schneider - Goldman Sachs: Okay, perfect. And then secondly, could you talk about any potential opportunity, I mean you talked directionally about some of the puts and takes in OpEx. But do you think, there is opportunity for further reductions in OpEx from levels you guided to in Q2?
George A. de Urioste - Interim Chief Financial Officer: Currently we are comfortable with the guidance that we have spoken earlier on this call for the second quarter. And we are all, we are continuing our reviews of operational efficiencies and looking for opportunities for improvements but the guidance that we have given is our most realistic anticipation of the second quarter expenses at this point in time.
James Schneider - Goldman Sachs: Okay great. And then lastly, in terms of the base processor business could you give us an update on when you expect that to be a profitable on the operating line?
George A. de Urioste - Interim Chief Financial Officer: I don't think we will even talk about that... but in terms of... I mean to go through the detail. But I will say....it will be quite a while... maybe not a year or so before it becoming to be materially positive on the whole... as a whole.
James Schneider - Goldman Sachs: All right. Thanks very much.
Operator: With Jefferies & Company your next question comes from Adam Benjamin. Please proceed.
Adam Benjamin - Jefferies & Company: Thanks. You called out the wireless connectivity 802.11n being better than expectation. Can you comment, whether that was up sequentially in the quarter. And then comment as to your strategy going forward there you have historically focused more on the embedded market and they are not a significant player on the router and PC end. So, can you comment a little bit about your strategy there?
George A. de Urioste - Interim Chief Financial Officer: Adam in that regards the first part of your question Jeff has some information at his finger tips, Jeff would you kindly respond.
Jeff Palmer - Investor Relations: Yes, Adam in general 802.11n was up sequentially as the standalone wireless in general was better than we had anticipated going into the quarter.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes, I also want to pick the second question. You are right that we had been focusing in the past heavily on the embedded market, I mean that was the reason why we have devices in the printers, in the cameras, in cell phones, in the gaming devices. So there was a reason why we were strong there. But the side effect it was that we were not focusing on the PCs. So, yes we understood that and we are now looking into also addressing that the PC market as well.
Adam Benjamin - Jefferies & Company: When do you expect to have a single chip end solution for the PC markets Sehat?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: We are not... okay I don't think we will talk about that. Okay we will talk when we are ready.
Adam Benjamin - Jefferies & Company: Okay. And then just one last question maybe Jeff just a follow-up on the enterprise SOC to Seagate. It's ramping in July you indicated you previously talked about finishing the year at 50% of the mix, you think that's still on target?
Jeff Palmer - Investor Relations: That's still reasonable, as we said last quarter Adam 4 to 6 quarter ramps so assuming by the end of this year about half the ramp is complete. Its really not our... a requirement.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes, I don't think, we can even precisely, even predict that.
Adam Benjamin - Jefferies & Company: All right.
Jeff Palmer - Investor Relations: It's up to the customer's ramp.
Adam Benjamin - Jefferies & Company: Okay. And then just that one more follow-up, your competitor there talked about garnering the next generation wins that would ramp in 2010. Do you have any comments as it relates to that?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: I would be glad. Yes, so our competitors have been talking about this many years, every time we have a design win. They always talk about their future technology. So when we... today they are talking about 45 nanometers solutions, well they have even harder hard time getting their 90 nanometer, 65 nanometer and 90 nanometer products to work, to give you an idea our products today in the desktop consume about half the power compared to our competitors that translate to much lower operating temperature on the silicon, on the SOCs. Our competitor device capacity has to run around 125 degrees centigrade on the desktop. Imagine on the enterprise to perform the speed has to be higher, we need to integrate to 2 microprocessors, we need to integrate double the band-with, double DVR bandwith for the DRAM interface, we need to double the seal fast or fiber channel interfaces. I couldn't imagine, what kind of temperature, they are talking... they are going to talk about. So I am not worried about it.
Adam Benjamin - Jefferies & Company: All right so it's fair to assume that those wins for 2010 are rather suspect?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: They have to lower the power dissipation by a factor of 3X to make the device to be a viable device.
Adam Benjamin - Jefferies & Company: Got you. Thanks a lot guys, it's all I have.
Jeff Palmer - Investor Relations: I think operator we have time for one more question that will be it for today.
Operator: Okay. Your next question comes from Shawn Webster with JPMorgan Chase. Please proceed.
Shawn Webster - JPMorgan Chase: Great. Thank you for squeezing me in, on the OpEx front. As far as your guidance, can you give any clarity as to were it will land between SG&A and R&D lines?
George A. de Urioste - Interim Chief Financial Officer: I would say just generally consistent with the percent allocation over the last two quarters. So nothing, nothing markedly different from what the recent trend.
Shawn Webster - JPMorgan Chase: Okay. And what was your headcount at the end of the quarter?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: About 5,300 or so.
Shawn Webster - JPMorgan Chase: Okay.
George A. de Urioste - Interim Chief Financial Officer: 5,320 I believe.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: 5,320at the end of the quarter.
Shawn Webster - JPMorgan Chase: Okay. And do you expect to continue to add headcount over the course of the year?
George A. de Urioste - Interim Chief Financial Officer: We are going to be... we understand the sensitivity of this. So we are going to be very mindful. In terms of only adding the absolutely necessary headcounts to fill in any gaps that we have.
Shawn Webster - JPMorgan Chase: Okay. And then as the Q2 revenue guidance you are talking about turns required of about 35% does that about what it was in Q1 your actual turns.
George A. de Urioste - Interim Chief Financial Officer: Shawn I will take that one, it was actually lower turns required in Q1 than in Q2. But from a historical seasonable perspective, it's very much in line with the historical seasonal backlog percentage in Q2.
Shawn Webster - JPMorgan Chase: So I am just trying to get grounded on it. Where the actual turns in Q1?
George A. de Urioste - Interim Chief Financial Officer: I don't think we have that exact figure, for you right here.
Shawn Webster - JPMorgan Chase: Okay.
George A. de Urioste - Interim Chief Financial Officer: Regarding Q1 it's our last call. We said, we were booked to greater than 70% of the midpoint of our guidance, when we held the conference call on March 6th.
Shawn Webster - JPMorgan Chase: Right. Okay and orders for Q2. Can you talk about which product categories the orders are the strongest or what you expect they have the best sequential growth for Q2?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: I think same as last quarter.
George A. de Urioste - Interim Chief Financial Officer: Yes.
Shawn Webster - JPMorgan Chase: Okay.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: I think... I don't see any major difference compared to last quarter.
George A. de Urioste - Interim Chief Financial Officer: Largely a continuation of the trend of the prior quarter.
Shawn Webster - JPMorgan Chase: So, the same areas you saw strength in Q1, you expect those to continue to be strongest?
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Yes.
Shawn Webster - JPMorgan Chase: Okay. Thank you very much.
Jeff Palmer - Investor Relations: Operator at this time, I don't think we have any more time. We would like to thank everyone for their time and interest in Marvell. And we look forward to speaking to you at our next conference call at the end of August. Thank you very much.
Dr. Sehat Sutardja - Chairman, President and Chief Executive Officer: Thank you, gentlemen.
George A. de Urioste - Interim Chief Financial Officer: Thank you.
Operator: Ladies and gentlemen, thank you for your attendance in today's conference. This concludes your presentation. You may now disconnect. Good day.